Operator: Greetings. Welcome to Simon Property Group's Fourth Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. If anyone should require operator assistance during the conference, please note this conference is being recorded. I will now turn the conference over to Thomas Ward, Senior Vice President of Investor Relations. Thank you. You may begin.
Thomas Ward: Thank you, Vaughn, and thank you all for joining us this evening. Presenting on today's call are David Simon, Chairman, Chief Executive Officer, and President; Eli Simon, Chief Operating Officer; and Brian McDade, Chief Financial Officer. A quick reminder that statements made during this call may be deemed forward-looking statements within the meaning of the Safe Harbor and Private Securities Litigation Reform Act of 1995. Actual results may differ materially due to a variety of risks, uncertainties, and other factors. We refer you to today's press release and our SEC filings for a detailed discussion of the risk factors relating to those forward-looking statements. Please note that this call includes information that may be accurate only as of today's date. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures are included within the press release and the supplemental information in today's Form 8-K filing. Both the press release and the supplemental information are available on our IR website at investors.simon.com. Our conference call this evening will be limited to one hour. For those who would like to participate in the question and answer session, we ask that you please respect the request to limit yourself to one question. And please introduce David Simon.
David Simon: Good evening. We delivered strong financial and operational results in the fourth quarter, capping another impressive year for our company. We achieved excellent leasing performance, acquired $2 billion in high-quality retail properties, completed more than 20 major redevelopment projects, and opened a new premium outlet in Indonesia. We reported record real estate funds from operation of $4.8 billion, or $12.73 per share. Our results reflect solid fundamentals, strong occupancy, accelerating shopper traffic growth, healthy and growing retail sales, and positive supply and demand dynamics, all driving improvement in our cash flow. We returned approximately $3.5 billion in cash to our shareholders through common stock repurchases and record cash dividends. In our yearly tally, we have now paid approximately $48 billion in cash to shareholders in dividends over our history as a public company. With that, I'm now going to turn it over to Eli, who will discuss our leasing and investment activities. And then Brian will cover our fourth quarter results and our outlook for next year in more detail.
Eli Simon: Thank you. During 2025, we acquired The Mall, two well-known luxury outlet centers in Italy, our partner's interest in Brickies Brickell City Center, a premier mixed-use property in Miami's rapidly growing central business district, the remaining 12% interest in Calvin Realty Group we had not previously owned, and Phillips Place, a high productivity, open-air retail center in Charlotte, a market we know well with significant upside from remerchandising and densification. These deals enhance the quality of our portfolio. We look forward to deploying our leasing and property management expertise along with our strong balance sheet to pursue new growth and value creation opportunities across these properties. Retailer demand remains strong across our portfolio. We signed more than 1,300 leases totaling over 4.4 million square feet during the quarter, and over 4,600 leases for more than 17 million square feet for the year. Approximately 30% of our annual volume was new deals, reflecting continued strong demand across our portfolio. Now turning to development. We completed more than 20 significant redevelopment projects in 2025, including retail and experiential additions at South Dell Center, Stanford Shopping Center, King Of Prussia, and The Forum Shops at Caesars. In mixed-use editions, including hotel and residential and Northgate Station and Lakeline Mall, respectively. In 2026, notable retail and mixed-use projects scheduled to come online include Brea Mall, Northgate Station first phase of residential, and open-air expansion with restaurants and retail at the shops in Mission Viejo, Briarwood Mall with the new Harvest Market Dick's Sporting Goods, and Residential, and Tacoma Mall New Village shops and restaurants. We also expect to begin construction on exciting new projects including anchor redevelopments at Fashion Law at Keystone and Town Center at Boca Raton, expansions at Toronto, Desert Hills, and Woodbury Common Preamela progressing. And Sagefield, our new open-air retail and mixed-use development in Nashville. We also plan to enhance the merchandise mix and invest in meaningful capital upgrades at former TRG assets, including the mall at Green Hills, International Plaza, and Cherry Creek Shopping Center. At year-end, our share of the net cost of developments across all platforms totaled approximately $1.5 billion with a blended yield of 9%. Approximately 45% of net cost are for mixed-use projects. Our pipeline of new development and redevelopment opportunities continues to grow and now exceeds $4 billion. I will now turn it over to Brian, who will walk through our fourth quarter results.
Brian McDade: Thank you, Eli. Real estate FFO was $3.49 per share in the fourth quarter compared to $3.35 in the prior year, a 4.2% growth. Domestic and international operations both performed well, contributing $0.26 of growth, driven by a higher lease income across the business. As anticipated, lower interest income and higher interest expense combined were a seventh and drag out. Domestic property NOI growth was strong and increased 4.8% year over year for the quarter and 4.4% for the year. Portfolio NOI includes our international properties at constant currency, grew 5.1% for the quarter and 4.7% for the year. Malls and premium outlets ended the year at 96.4% occupancy, and the mills ended at 99.2%. The addition of the TRD assets reduced occupancy by 20 basis points for malls and premium outlets and 30 basis points for the mills. We expect to drive higher occupancy at these assets as we on our leasing strategy. Average base minimum rents increased 4.7% year over year the malls and the premium outlets. The TRG properties contributed approximately 250 basis points to this growth. Retailer sales per square foot for the mall and the premium outlets were $799 per square foot for the year. The SPG only portfolio was up 2% year over year. Importantly, total sales volumes grew approximately 4% in the important fourth quarter and 3% for the full year. Occupancy cost at the end of the year was 12.7%. Turning to the balance sheet. During 2025, we completed approximately $9 billion in financing activities, including a dual tranche US senior notes offering that totaled $1.5 billion and a combined average term of 7.8 years and a weighted average coupon rate of 1.77%. And completed also completed £7 billion of secured loan refinancing and extensions in the year. Subsequent to year-end, we concluded the $800 million offering of five-year no a spread of 65 basis points to our five-year treasury. We used the proceeds to repay $800 million of notice that matured on 01/15/2026. Our A-rated balance sheet provides an advantage with more than $9 billion of liquidity at year-end and a net debt to EBITDA measure of 5.0 times. During 2025, we paid more than $3.2 billion in common stock dividends and repurchased over 1.2 million shares for approximately $227 million. Subsequent to year-end, we repurchased an additional 273,000 shares for $50 million. And today, we announced our dividend of $2.20 per share for the first quarter. A year-over-year increase of $0.10 or 4.8%. The dividend is payable on March 31. Turning to our 2026 guidance. We expect real estate FFOs of $13 to $13.25 per share with a midpoint of $13.13. The guidance range assumes domestic property NOI growth of at least 3% and higher net interest expense of 25 to 30¢ per share versus 2025. Reflecting current market interest rate and Thank you. We will now open it up for questions.
Operator: Thank you. We will now be conducting a question and answer session. As a reminder, we ask that you please limit yourselves to one question. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. Before pressing the star keys. Our first question comes from Caitlin Burrows with Goldman Sachs. You may proceed with your question.
Caitlin Burrows: Maybe on the leasing side, you mentioned that 30% of lease signing flash year were on new leases. So could you give some detail on what rents you're getting on new leases and renewal leases and how your pipeline today and depth of demand compares to a year ago, I guess, keeping in mind the TRG deal and now the portfolio is larger?
Brian McDade: Caitlin, this is Brian. Look, I think what we would say is that, certainly 30% is a good run rate for releasing. We disclosed the new rents on our leases, which are $55 per square foot. We would expect that to continue into 2026. And then just from the pipeline perspective, you know, year to date, our pipeline is up about 15% over last year, and that's really broad-based across all categories. So, you know, no change in tenant demand. If anything, it's increasing.
Caitlin Burrows: Thanks.
Operator: Our next question comes from Samir Khanal with Bank of America. You may proceed with your question.
Samir Khanal: Good evening, everybody. I guess, David or Eli, you know, you, going back to November, you launched the Simon Plus loyalty program. Just is there any early observations you can share about the program? I mean, you know, as it relates to maybe the impact on traffic or retailer sales, maybe, Eli, anything would be helpful from that end. Thanks.
Eli Simon: Yeah. Sure. So it's early days that we've been very pleased adoption. From both a customer perspective, but also getting brand excited about it. And so we're still in the membership acquisition phase. Increasing engagement, you know, we had a great holiday activation. They got a lot of organic buzz, you know, which was exciting and I think helped increase traffic a bit. And so as we go into '26, it's more of the same continue to focus on getting new rewards, new retailers, then also partnering with other loyalty programs that are outside of our space as well, working on launching that in the beginning part of the year. So again, early days, but we are very pleased with where we are so far.
Operator: The next question comes from the line Michael Griffin with Evercore ISI. Please proceed with your question.
Michael Griffin: Great. Thanks. Appreciate all the color so far. Just wondering if you can give some insights maybe into your thoughts around tenant credit or bad debt as it looks at the year ahead. I know there's been some news recently around retailer bankruptcies, but just maybe give us a sense where your head is at from expectations from a tenant credit perspective? Is it better or worse, the same than last year? Anything about that would be helpful. Thank you.
David Simon: Sure. Yeah. Look. I think the tariffs are clearly having an effect on retailers. So it is definitely putting more pressure on them. And it's not the big guys. I think I mentioned to you this on our last call. I mean, it's really it's really it's you put Costco and Walmart and, of course, Amazon aside. And then you have the rest of us. Okay? And the rest of us are feeling the pinch. And so it's something that when we had our call last year, obviously, we weren't dealing with. We retailers dealt with it successfully this year, but it kinda you know, the full impact will really be 26 because it was implemented, you know, who knows, in April, I guess. We're still waiting for the Supreme Court to rule. Which could be a know, a small victory for you know, our clients. But but no one really really knows. I know what you know, poly market where the odds are. Actually, that'd be an interesting time while we're wobbling here, you can find out what polymarket says about the Supreme Court. So, you know, they have to deal with it, and it's you know, we see it from Catalyst. Point of view, and I mean, it's gonna take a couple of $100 million of EBITDA away from Catalyst to pay the government. I mean, if you cut through it all. Because I think Catalyst rightfully so is very focused on doing the best they can not to pass it on to consumer. So it is a real issue. And, you know, the retailers that we speak to are managing it the best they can. But know, it is it is a headwind. And long story short, it it probably put more pressure on retailers than should be and it's gonna end up hurting the small guys. So we're a little more cautious. You know, we gave you our range. That was you know, frankly, you know, we didn't we didn't have some bankruptcies in there. That surfaced at the '26. That we felt comfortable enough with to keep the range know, we do our budgets. We finish basically you know, mid-December. So that budget was essentially fixed. We didn't back off it because what Eli mentioned to you you know, the retail demand. But they'll probably be a little bit more. And I would say most of it it you know, if I had to cut to the chase, is tariff. Pressure. Which is unfortunate. I hope that answers your question.
Michael Griffin: Yep. Appreciate it.
Operator: The next question comes from the line of Michael Goldsmith with UBS. You may proceed with your question.
Michael Goldsmith: Good afternoon. Thanks a lot for taking my question. We heard a lot about and redevelopment from Eli. So maybe we can you frame how much incremental NOI or FFO we should expect this year from projects stabilizing either late in 2025 or in 2026? Thanks.
Brian McDade: Hi, Michael. It's Brian. I think you should expect about a $30 million contribution '26 from projects that are gonna be complete.
Michael Goldsmith: Great. Thank you very much.
Operator: The next question comes from the line of Alexander Goldfarb with Piper Sandler. You may proceed with your question.
Alexander Goldfarb: Hey. Good evening. Good evening out there. Good morning. David, Holy Mark. Hey. Hold on. Holy Mark. Says 25 to 32% in favor of policy survivors. Okay. If it does, it's gonna be an interesting opinion. David, just going to your point on the question on the guidance set in December, even though that was ahead of Saxon, Eddie Bauer, but you still feel pretty good. You know, as you look at the business, you guys have know, there's there's Simon Bread Ventures. There's parking revenue. I mean, there's all these other ancillary revenue sources. So is your view that as, you know, presumably the economy grows all these other revenue levers that you guys have will, you know, kick in and be more than sufficient to offset whatever potential tariff disruption that you outlined? Or how are you thinking about that? Because on one hand, the tariff thing sounds like there's going to be more ripple effects this year as the full year is felt. But the same token, if, you know, presuming the economy accelerates, you guys have more revenue levers that should come into play and help drive earnings up.
David Simon: Yeah. Listen. I agree you know, a thousand percent review thesis. We are seeing the most important thing is traffic's up, sales are up, the retailers that don't make it, even though I could sit here and blame tariff. You know, they were not highly productive retailers. And given that you know, it's our view that we can replace it with more productive retailers or higher rents. And you know, take take know, what's going on with sex. As a as a simple example. We have you know, a number of office stores and it'll be like the forever 21. Even though we don't have all of Forever 21 leased, we are already way ahead of the income for that and we have upside of you know, another 20, 30 boxes to lease. So Saks Fifth You know? Total was paying us around 18,000,000. You know, We think half the portfolio will pay us 30 And Eli Shakin said that remember the numbers. Right? So and then we'll and those are deals that we feel highly confident on. Then we have the other boxes that will generate it. So you know, we're not you know, we're not replacing you know, or replacing the you know, off fifth in the sets. The productivity and the rents. Are just so cheap that you know, there there's a tremendous amount of upside. And, you know, it takes time. Right? But and most of that will all be back end weighted because your GOB sales and I will be done. Who knows? In the spring sometime, you know, we get the space back. You know, Maybe there's a few that we can get in the fourth quarter. But most of it will show up in '27. So so the media sales tenant demand, traffic, It's all moving. In the right direction. And and I I like you. I mean, we're bullish on the economy. It's just, you know, that the tariffs are you know, it's never gonna be all all systems go. We still see it a little bit on the sales. We had a good bounce back on the border. The North border Canadians are really pissed off. So they're not going anywhere. In The US. So we're seeing kind of the the North border a little weaker than the South corner. We also interestingly and that's all a little bit of sales disruption in certain markets where there you know, a lot of ice activity. Which was interesting. But, again, tariffs are you know, a headwind. But there's a lot of positives aspects of what's going on. And most importantly, we're making the properties better. You know, the Simon Plus you know, we'll we'll see some benefits. You know, in '26. And know, the the you know, as a as an example, Alex, we just opened Chanel in both town center. Off to a really good start. And, you know, that's you know, to make that kinda you know, with that kind of retailer who's the best of the very best, you know, is just creates so much momentum elsewhere. So in that sense, you know, we're we're very bullish.
Alexander Goldfarb: Thank you.
Operator: Sure. The next question comes from the line of Craig Mailman Citi.
Craig Mailman: Hey, everyone. Just to follow-up on the on the leasing, you know, the pace of leasing has been pretty consistent here and strong. I'm just kind of curious The the tenor of the conversations maybe as you're talking to retailers and you know, their demand and appetite to go into class a and what they're willing to pay for that versus maybe what a same tenant or or you know, vertical would be willing to pay for a space in class b? Just kinda curious what the appetite looks like there. And the pricing for that.
David Simon: Yeah. Well, we don't I mean, pricing is is it's just so space market asset driven. It's a there's you know, hopefully, AI will will solve it for us so we don't have to you know, negotiate. It'll just say, here is the rent that the tenant and the landlord should agree on. Then we can you know? I know what we do, but you know, we can we can use that. So it it it I can't really tell you. I mean, obviously, AE assets have you know, higher demand. But we're making a lot of progress in the b's And, you know, we don't really talk about pricing power. We we really talk about you know, you can't force a deal. So it's you know, the tenant has to agree We have to agree. And know, it's a negotiation. And I would say how many leases did we do? Last year, guys? 40. 4,600? 4,600. No. No. No, buddy. Square feet. 17,000,000. 17,000,000. So strangely enough, we figured out how to make deals on 17,000,000 square feet. Okay? So it's it's more of an art. And the science may be maybe AI can make it more of a science. But, you know, and again, it's not pricing power. It's just know, what's the right deal for both of us.
Craig Mailman: I I I mean, I I guess, is it getting easier to lease class b versus maybe twelve months ago? Any any sense?
David Simon: I I think that's I think that's the case. Safe safe statement. And, again, it you you you know, a class if you looked at Seth know, if you looked at Southdale, Mall, a year or two years ago. You would say, this was you know, a c ad. Okay? And now we've made it an a. So know, part of our job is to enhance the quality and we're we don't discriminate on what we're trying to achieve. We're trying to achieve is make if if it's in Midland, Texas, by the way, hope you watch Land Man because that's in okay. So now that you've been to Odessa and Midland, which, of course, I have been a few times. You know, you really it's really know, you really get the feel for it. But our job is to make Midland Texas. Which does used to have a lot of volatility oil price. Less so today. But to make that the best it can be at the same time, trying to make sure that's the best it can be. And that's one of the hallmarks of our company in that we can do that. And it just takes a lot of focus lot of a lot of energy to do that. But it's at the same time we can build an outlet like we did in in you know, in in Indonesia. Right? Mean, very few companies can build in Indonesia and then build a new outlet in Oklahoma. Okay? So you know, that's just what we're about.
Craig Mailman: Great. Thank you.
Operator: The next question comes from the line of Greg McGinnis with Scotiabank. Please proceed with your question.
Greg McGinnis: Hey, everyone. So normally, this question doesn't fall so deep into the question queue, but I think someone needs to ask. So Brian, how should we think about the factors that could drive Simon to the higher or lower end of the FFO per share guidance range, especially considering that you're already absorbing some additional bankruptcies versus the December budgeting process?
Brian McDade: Greg, I think the way to think about it is very similar to how, you know, we we run our business. We start community and very conservatively build from year. I think we touched upon a variety of of the potential inputs would drive the outperformance. Certainly, ancillary businesses, our leasing business, sales, we you know, certainly, we've done Yeah. I I would just sales to me could be you know, significant upside You know, we we because you probably know we budget ourselves flattish and so if we get 3% growth, you know, I would hope to be our, asset. And to me, yeah, we'll have bankruptcies You know, we'll have you know, tenants will be delayed. That kind of stuff. But you know, if if we get the tenant sales growth that we hope to get, you know, then we'll we'll do better. And I would I don't you know, anticipate doing worse than our age.
Greg McGinnis: Okay. Thank you.
Operator: Thanks, sir. The next question comes from the line of Vince Tibone with Green Street. You may proceed with your question.
Vince Tibone: Hi. Good evening. I got one more on guidance. Can you just discuss the level of domestic property NOI guidance included in '26 FFO? And then also, if you could just help quantify '25 was a bigger acquisition year than know, the recent past? Like, how much did '25 completed acquisitions benefit or contribute to domestic property or NOI in '26?
Brian McDade: We're projecting 3% comp NOI growth. You know, the deals you know, Talman really is a 27 story. Because of you'll see an announcement from us tomorrow or the next day on some transformations of three properties that now that we've you know, got our hands on. We also have the integration, which is a 26 story. So it's you know, we obviously issued the units as well. We have them quarterized that, which is our intent. People made fun of that name, but that's a legit use of the word. So so we really done much of that yet. And we'll be prudent about that. That's not really in the guidance. So and the other deals you know, helped a few sets. But they're they're all early days.
Vince Tibone: No. That that's really awesome color. Couple couple were pretty small. But you know, all all over time will contribute to our growth.
Vince Tibone: No. That makes sense. That's really helpful. If I can maybe squip in a quick follow-up. Think, Brian, you mentioned earlier I think, 30,000,000 of NOI coming online from redevelopment this year. Is that a net figure, like adjusting for any NOI that's going be taken offline like, some of the Todman projects you just discussed? Or should we model, you know, more NOI coming offline than the than the 30? You follow me.
Brian McDade: It wasn't a debt number. No. It's it was it was basically our deliveries the expected yield. There's some timing elements to it. As well. Yeah. Most of what we're most of what we're doing you know, again, is back end weighted. So that's just a that's just a you know, let's verify that number, but that's just a more back end weighted and not the full you know, n NIL, NIY. That initial yield to those properties. Those redevelopments. Again, you know, give you examples. Ann opening best case fourth quarter, right, Best case fourth quarter. Mission, best case fourth quarter. I can go down the slide. But most of all of that, is very, very limited back end weighted, Q4 openings.
Vince Tibone: Your Okay. Thank you.
Operator: Okay. Thank you. The next question comes from the line of Floris van Dijkum with Ladenburg.
Floris van Dijkum: Hey. Thanks, guys. So quarter rise, I guess, is an appropriate term. So I guess that's another three million of shares that you could be buying back. It sounds like. Which which obviously would would be accretive. My question is more on your as I usually ask about your ethanol pipeline. And how that is progressing and how do you see that trending throughout '26 and into, you know, at as you sign your your 17,000,000 of of leases, If you can maybe Brian, if you can give a little commentary around that. What percentage of that s and o pipeline is is is luxury versus your traditional retailers?
Brian McDade: Floris, it's Brian. So at year-end, we were about 2.1% of S and O. Is consistent with the prior several years in 12/31. As you know, we we know we opened in the fourth quarter, vast majority of retailers. Then the momentum builds throughout the balance of the year. So you would expect that number to go up. Second, third, and fourth quarter. Yeah. I think it's good that that number you know, the way I would look at it is it's good that that number is staying almost stable. Because that means we're replacing tenants or or filling vacant space. And it's not going down. So you know, there's positive churn in there. Which, you know, which is good.
Floris van Dijkum: So let me just make sure I understand. So 210 basis points of S and O is what what it was at year-end. What what percentage of that is is is luxury tenants? If you can give a little bit more color on that.
Brian McDade: Yeah. We we don't get into that. But, you know, it's not it's not happening. Right? You know, they're they're very selective. They're very focused. But, you know, we we're we don't really you know, it's that it's not anywhere near the majority. It's it's well less than half. But it's not it's not the size. It's the quality. So that's how you have to look you know, at you could add know, South Wales is a great example. Southvale set again, is probably a million four square feet, million three. Huge number. It's got all sorts of funky basement and a third level space. Put all that aside. What what transforms Southfield? Was essentially 70,000 square feet. Of high-end leasing. So it's the it's the quality, not the quantity. So that's what we should focus on. It's not you know, oh, they're gonna do 500,000 square feet of luxury. It's you know, if she can add 20, 30, 40,000, in the right markets, it makes a real difference. And that's that's what you should look out for, not the actual amount. Of the of the of the, you know, representative.
Floris van Dijkum: And and David is that's very helpful, by the way. Thank you. But is are there any more South Wales expected, in the pipeline?
David Simon: Oh, yeah. Oh, yeah. Eli's gonna announce something tomorrow or the next tomorrow? Maybe? Tomorrow? I haven't proved it yet.
Eli Simon: Yeah. We we think we definitely think there's more to do.
Floris van Dijkum: Thanks.
Operator: Thank you. Next question comes from the line of Omotayo Okusanya with Deutsche Bank. You may proceed with your question.
Omotayo Okusanya: Hi. Yes. Good evening, everyone. Just curious about deal flow. Dollars 2,000,000,000 of of of activity in 2025 was pretty good. Just curious as you're looking globally what you're seeing out there and we should kind of be thinking about that in '26.
Eli Simon: Yeah. I mean, listen. We we always always look, but we have a very high bar. Right? The way the best way to think about it is it has to be something that is brand accretive to our portfolio. It's something that we can add our expertise, whether it's leasing, intensification, know, property management's running better, has to be at the right price. And so last year, we were, you know, able to find a few of those transactions that were very excited about, and are off to a good start. And know, if there are more of those, great. And if not, you know, we'll continue to reinvest into our existing portfolio, which we're earning great yields. And obviously had a, you know, a big and growing shadow pipeline behind that.
David Simon: Yeah. I I think you know, with our new development in South Nashville. And all the redevelopment mixed-use pipeline. The bar to buy something. For us is is you know, is you know, you don't have to be an Olympic high jumper. But you gotta you gotta have more hops in the ward. Okay? So you know, and and why I'm why I'm saying this is because we are really excited about our redevelopment pipeline. And it's not a capital question. It's just you know, it's a you know, we're we're we're long gone. Take you know, take you know, I just pops into my head. But take Boca. As an example. You know, we we finally you know, we won the litigation. We were able to buy the building. From Seritage. And that development in itself could be $500,000,000. And you know, that's just one example that pops in in in my head about you know, we have the same thing, and Fashion Galway in San Diego. You know? Taking the building and know, creating know, mixed-use and more retail. Space. So you know, that and and then know, we've got the new development in Nashville, which could be $500,000,000. So what, Gary? Extension of Woodbury, Extension Of Toronto, Desert Hills? Desert Hills. So you know, these these things you know, are very exciting to us. And so know, we gotta we gotta be we have to have similar excitement if we buy something. And that similar excitement has to then be grounded by what Eli said, which is you know, does it fit with our portfolio? We add value? You know, what's what's you know, you know, what's the game plan? And I'll take one that we bought in You know? Now that we've taken over leasing, we got a lot of great stuff in the works there. And an asset that you know, ten years from now will be worth 3 to $4,000,000,000.
Omotayo Okusanya: Gotcha. Thank you.
Operator: Thank you. The next question comes from the line of Linda Tsai with Jefferies. Please proceed with your question.
Linda Tsai: For taking my question. Just a follow-up on the redevelopments. When you engage in them, are you relocating retailers within your existing property or drawing new retailers into the market. Or taking share from other assets in the area.
David Simon: We're we are breaking most of the time. We always relocate some existing retailers in the existing building. But most of the time, we're bringing new entrants into the market.
Linda Tsai: Thank you. And then just on occupancy, for 26 versus twenty-five, how are you thinking about that, and does it vary at all across different formats, premium outlets, malls, mills?
Brian McDade: Linda, we we do expect that there is some upward opportunity in our occupancy for the year across the platforms.
Linda Tsai: Thank you.
Operator: The next question comes from the line of Mike Mueller with JPMorgan. Please proceed with your question.
Mike Mueller: Yeah. Hi. Can you talk a little bit about the institutional appetite for higher productivity malls? For example, are your JV partners looking to invest more with you? Or are we more likely to see you buy them out?
David Simon: It's it's really you know, we don't have a lot, to be honest. So and what I've noticed is really it's really partner by partner. So and a lot of it depends on how long they've held the asset what's going on, you know, in your, you know, in real estate investments, etcetera. So I it's hard for me to say it's really one way or another. There's not a there's not a rush to get out. And I would say, it was not a rush to get in. And if I had to make it if I had to make it simplistic statement, which very confident at, Right? Because, you know, simple assignment. Right? It's kinda more status quo.
Mike Mueller: Got it. Okay. Thank you.
David Simon: Sure. Thank you, Michael.
Operator: The next question comes from the line of Haendel St. Juste with Mizuho Securities. You may proceed with your question.
Haendel St. Juste: Hey. Good evening. Thanks for taking my question. I wanted to ask about luxury. I was hoping you could talk a little bit more about what seeing and hearing from luxury shoppers and tenants. The upper-end consumer has clearly been resilient but looks like some of the luxury brands, LVMH, in particular, might be signaling a bit more caution for luxury this year. Some of that obviously tied to tariffs Chinese spending. So I guess I'm curious, what's your view and expectation leasing demand and sales productivity from that tenant category for this year? Thanks.
David Simon: Sure. I would say again, it's so dependent upon the company. And then within the company, the brand. There's some that are growing, There's some that are still making deals, but a little more cautious. And then there's some that are you know, slightly pulling back. The good news is that the you know, what they have all discovered in over the last decade or so is The US is a lot bigger market. You know, than than they ever thought it could be. So in the long run, we're all bearing very much dedicated to be an important player here. Their wholesale business you know, is obviously affected by what's going on with SAS Global. And that could inure to our benefit, potentially, It might not. So I think as they look at you know, their positioning, you know, that that there's certainly going to have an opinion on that. And you know, we're and we're optimistic that you know, they'll continue to you know, do business with SACS slash Lehman and you know, that will reorg and you know, live a better life with a better balance sheet. I'd say, generally, it's steady as she goes. You know? So I'm growing. Some peeling the onion, and a lot of them know, just you know, stable and know, the great thing about these brands because they they make long-term decisions. They really invest in in the brand, and they're really invest in the stores. And you know, they don't they do it over a you know, almost a little bit like us. They do it over a little bit longer horizon. Than quarter to quarter and year to year. And we really like being aligned with those kind of you know, high-quality retailers.
Haendel St. Juste: Thank you for the the color.
David Simon: Sure.
Operator: The next question comes from the line of Juan Sanabria with BMO Capital Markets. May proceed with your question.
Juan Sanabria: Hi. Good afternoon. I just first a quick follow-up. I think you mentioned that pipeline, the leasing pipeline was 15% year over year. So just curious if that number was benefiting from I mean, if so, what the kinda apples to apples number is. But then just the broader question is just on these anchor boxes. How should we think about the potential capital investments for Bax and Niemens as those come back to you over time? And and kind of what you think the, like, the top let's say, most likely uses are for those boxes across the portfolio.
David Simon: Well, yeah, the the 15% is like for like, essentially. Because remember, we literally just took over Calvin Mason two days ago, it feels like. Right? So but that's that's like for like. I mentioned earlier the upside that we see in all fifth. So you know, we'll see we'll see it positive impact from both the tenant mix and the cash flow you know, over time. And then the other I don't think we're gonna have that dramatic of an impact but it's early days here. And then if we get boxes back you know, we'll do what we've been doing. With you know, dealing with all the Sears vacancies. The boxes we got back from Kenya, and they filed. I mean, you know, the one thing we're very capable of is reimagining the real estate in the boxes. And at the end of the day, you know, gives us the opportunity to you know, to to redo the real estate, which is kinda what started with South Bend. Or how big is South Bend? You know, I only have two hundred and many properties do I have now? Two hundred fifty-four? I only have 254, but somehow I remember it's out though. Right? Okay. So Southdale is an example. That whole redevelopment was spurred by and I believe it or not, Kurt Kurzberg, going out of business. So and then we got the penny box. Back, and that's where we put lifetime in. So you know, there's lifetime deals to do. House of Sports deals to do. There's mixed-use to do. There's you know, outdoor additions to do. It really runs the spectrum. And you know, I'm we'll see where it goes. I mean, we don't know yet, so it's early days. My guess is we'll have a a better feel for when when we next pay for it.
Juan Sanabria: Thank you.
David Simon: Sure.
Operator: The next question comes from the line of Rich Hightower with Barclays. You may proceed with your question.
Rich Hightower: Hi. Good evening, guys. Thanks for taking the question. Just a small clarifying question on DACs and then a separate question from that, if I may. Think it was reported that Simon's got $100,000,000 investment in that entity as well. And so just help us understand what happens to that and how how that investment might in some way control the outcome to to whatever extent. And then my second question is just updated thoughts if you have any on the exchangeable euro debt that comes due later this year and the potentiality of of putting Klepierre shares to the debt holders there, what the math looks like there? Thank you.
David Simon: Sure. So let me answer the second first. We have gotten some redemption notices, and we've been issuing shares. Brian, what's the total number? 1,500,000.0 shares. So we've issued 1,500,000.0 shares to satisfy the bond. When we get it put. So you know, that's what's happened. That's factual. Your first question is we did a transaction with Saks Global as part of their funding for buying Neiman Marcus. Now as part of that, we decided we weren't just gonna make that investment. Unless we got you know, compensated for it. So in case it blew up, we would be home. And so we got the right to terminate two leases. We got two buildings. And very importantly, and I'm sure you're familiar with RIAs, But throughout our whole entire portfolio with Sacks and Neiman and all fifth. We got the right to to build what we want so we don't have to go get their approval. In addition, we got the right to take that investment and convert it into a company that's being run by Authentic Brands Group. That owns the IT not ecommerce, not stores. But owns the IP for Saks, Neiman, Bergdorf. So at the end of the day, you know, we felt like we made a a good trade. With that said, we've written off our investment at the end of the fourth quarter. So but, again, we got the right to build. Which can keep you from doing what you want at RAA's for years and years. We've got two buildings. We got the right to terminate two leases. If they were monetary default, which they are. And then the upside is we own the IP. So we're in my personal belief, we're ahead of the game. But we went ahead and rolled off our investment.
Rich Hightower: Very helpful. Thank you.
David Simon: Yeah. Good question, and thanks for asking.
Operator: Our last question comes from Ronald Kamdem with Morgan Stanley. You may proceed with your question.
Ronald Kamdem: Hey. I just had a a quick one putting some of the stuff that came up in the call earlier. Just going back to the domestic property NOI assumptions, for this year versus last year, just talking through the occupancy, the releasing spreads, the bad debt, just putting it all together, how it compares versus last year would be helpful. Thank you.
Brian McDade: Raj, it's Brian. I think if you look, we've now said at least three domestic NOI for about four years and about four. You know, ultimately, it's going to be all of the things that we've talked about on this call that we're drive the performance of the domestic domestic store NOI. Above where we have guided to. Ultimately, it's gonna be the, you know, upside from occupancy, upside from leasing, and variety of other parts of the business that you've had this year in the past several years.
Ronald Kamdem: Right. That's it for me. Thank you.
Brian McDade: Thank you, Ron.
David Simon: Alright. Thank you, everybody. Sorry. Go Very good questions. And we will talk to you soon. And Brian and Tom always welcome your thoughts and insight. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference. You may disconnect your lines and have a wonderful day.